Operator: Ladies and gentlemen, thank you for standing by. Welcome to the AptarGroup's 2015 Fourth Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Introducing today's conference call is Mr. Matt DellaMaria, Vice President of Investor Relations. Sir, please go ahead.
Matthew DellaMaria: Thank you, Michelle, and welcome everyone. Participating on the call today are Steve Hagge, President and Chief Executive Officer, and Bob Kuhn, Executive Vice President, Chief Financial Officer and Secretary. Steve will begin our call with an overview of our performance. Bob will then discuss some financial details and then we'll open up for questions. Information that will be discussed on today's call includes some forward-looking comments. Actual results or outcomes could differ from those projected or contained in the forward-looking statements. Please refer to AptarGroup's SEC filings to review factors that could cause actual results to differ materially from those projected or contained in the forward-looking statements. We will post a replay of this conference call on our Web-site. AptarGroup undertakes no obligation to update the forward-looking information contained therein. I would now like to turn the conference call over to Steve.
Stephen J. Hagge: Thanks, Matt, and good morning everyone. Yesterday, Aptar reported another strong quarter and full year with improved operating margins compared to the prior year across each business segment. Despite some challenges, we're able to grow our top line on a core basis and achieve record fourth quarter and annual net income and earnings per share. Our Beauty and Home segment continued to see softness in the personal care market, although we were encouraged to see year-over-year core sales increases to the beauty market for the first time in 2015. We've adapted to the softer market conditions with a Company-wide focus on cost containment and we benefitted from lower input cost. We continue to enter and expand our product portfolio within new application fields. Our airless serum dropper, originally developed for the skin market, is now featured on a new luxury hair serum product in Europe. Also in the home care market, we are entering the dish care market in Asia and continue to see opportunities to grow in this market. In our Pharma segment, demand for our delivery solutions in the prescription drug and injectables markets offset weak demand from the consumer healthcare market. We continue to see success with our nasal spray pump being used for allergy medications going over the counter, including the newly announced Rhinocort which has previously been a prescription-only treatment. We continue to enter new application fields. Our nasal spray pump is featured on the first FDA approved ready-to-use needle-free nasal spray product called NARCAN, a life-saving medication that can stop or reverse the effects of an opioid overdose. Our Pharma segment is also leveraging the new airless serum dropper that I talked about earlier which was developed in our Beauty and Home segment on a new wound care product recently launched in Europe. Our Food and Beverage segment was negatively impacted by beverage demand seasonality. While we continue to benefit from lower input cost, we also remain focused on containing cost and improving operating efficiencies. We continue to see success with our closures featuring the SimpliSqueeze valve for inverted packaging, and we recently helped launch several new Heinz mayonnaise and barbecue sauces in Latin America. In addition, we continue to grow within the bottled water market as our closures are featured on several new plain and fruit-flavored bottled water launches globally. Now overall, Aptar is well-positioned to grow over the long-term in different markets we serve as we continue to leverage both our technologies and processes across our three business segments. We also remain in excellent financial condition. In 2015, we executed on our balanced capital allocation strategy. We completed our accelerated share repurchase program, increased our dividend and announced a strategic acquisition just after the end of the year. We will continue to invest in projects that will drive profitable growth and returning value to shareholders. Now looking ahead, we don't anticipate significant changes in the various macro challenges that existed in the fourth quarter. The foreign currency exchange environment is expected to continue to have a negative impact on our first quarter reported results. We will remain flexible to adapting to changing market conditions with a continued focus on containing cost while we invest in innovation and new solutions that will help our customers grow their businesses. We also look forward to completing the Mega Airless transaction and moving forward with our plans to grow our expanded airless platform globally. I'd like to turn it over at this time to Bob Kuhn who will cover a few financial details.
Robert W. Kuhn: Thank you, Steve, and good morning everyone. I'll briefly cover a few details and then we will turn it over for questions. In looking at how our business segments performed in the quarter, I'll start with our Beauty and Home segment. Despite another challenging quarter, operating margin improved to 6.7% compared to 5.2% in the prior year, primarily due to our continued cost containment efforts and lower input costs. Weak conditions in certain markets resulted in lower sales volumes compared to a year ago and core sales declined 1%. On a positive note, core sales to the beauty market increased 6% over the prior year and this was the first quarter in 2015 that we saw year-on-year growth. Core sale to the personal care market decreased 7% and core sales to the home care market were even with the prior year. Our Pharma segment had another excellent quarter, achieving an operating margin of 28.7% and core sales growth of 6%. Core sales to the prescription market increased 10%, primarily driven by increases in demand for metered dose inhalers and nasal delivery systems. Core sales to the consumer health care market decreased 4%, and this is mostly due to certain customers choosing to reduce inventory and continued weakness in Eastern Europe compared to the prior year. And core sales to the injection market increased 7% due to broad-based global demand. Looking at Food and Beverage, despite a difficult quarter with core sales declining 1%, operating margins improved to 7.9% compared to 6.1% in the prior year. Looking at each market, core sales to the food market were even with the prior year and core sales to the beverage market decreased 3%, driven primarily by softer demand for functional beverage closures due to the seasonality of this business. Capital expenditures were approximately $43 million in the quarter and $149 million for the year. Our free cash flow in the quarter was approximately $50 million, compared to $78 million in the prior year. For the year, our free cash flow is approximately $175 million compared to $153 million a year ago or an increase of approximately $22 million. In summarizing our annual performance, we had a very strong operational year. We increased our EBITDA margin to 20%, compared to 18% a year ago. We also improved our return on invested capital to 14%, up from 13% in the prior year. Looking at our balance sheet capitalization at the end of the year, on a gross basis debt-to-capital was approximately 42%, while on a net basis it was approximately 21%. At this time, Steve and I would be glad to answer any of your questions.
Operator: [Operator Instructions] Our first question comes from the line of George Staphos with Banc of America Merrill Lynch. Your line is open. Please go ahead.
George Staphos: Thanks for the details. Congratulations on the year. My first question is around Food and Beverage and I just wanted to determine a little bit more why the effective seasonality was more pronounced seemingly this year versus prior fourth quarters. And related to that, guys, looking at last year's performance, I don't recall Food and Beverage having a particularly strong fourth quarter 2014, so it was an easy comp. Again kind of same question, anything else we should be concerned about relative to Food and Beverage having a sluggish quarter?
Stephen J. Hagge: I think it's a good question, George. It was actually a bit softer than we had anticipated going into the quarter. What we were hearing from our customers in the Food and Beverage, both condiments as well as beverage frankly, is that they were more conservative on the inventory levels that they wanted to carry into 2016. Now, what we would anticipate however is, we haven't lost any business and we're still very encouraged about the level of activity we have, so we typically start somewhat slower in the first quarter and then we see that ramping up particularly in the second and third. And then lastly, and I think you've kind of touched on this, if I take a look at overall Food and Beverage for the year and if I just breakout back to product sales, if I breakout the resin that's come down as well is tooling, we'd be up in every product by 8% on a year-on-year basis. So while it is a little bit below our targeted 10%, I think overall it's still been a pretty strong year. So once again, coming back, it's a bit lower than we anticipated, George.
George Staphos: So just to be clear, the 8% I missed, is that the adjusted, if you will, core growth for the quarter or more for the year?
Stephen J. Hagge: No, that would've been for the year. So we were off – for the full year we were up about 2%, there's about 4% as effective negative on tooling that were less this year than last year, so we've tried to strip that out, and we had about a 2% negative impact on sales price of passing through the lower resin. So, if you take the 2% plus the 4% plus the 2%, gives you the 8%.
George Staphos: Okay, appreciate that. And then a related question just in terms of the overall environment, consumer healthcare was sluggish again. You mentioned I think there was some destocking. In the past, we had asked whether you anticipated any greater than normal inventory destocking to be required by your customers given that there have been some very strong volume growth earlier in the year. Just help us understand how long you think this destocking will last and any other color you have on CHC.
Robert W. Kuhn: I think on CHC we had a little bit of the destocking, but frankly the biggest issue we've had is some of our larger pharmaceutical customers' sales into Eastern Europe, primarily Russia. Given some of the challenges this year, we've seen some dysfunction as they've been selling product. We've been seeing a pickup in our sales to our local Russian customers somewhat offsetting that but there's been a bit of a timing difference. So as we look forward to our budget for 2016 in CHC, we actually see a pretty healthy year going for the full-year. So I think we'll be past all the inventory corrections and we'll be much more equalized in terms of what we are doing in the Russian market.
George Staphos: Okay. Last question and I'll turn it over. The new product environment, in the past you said, I'm paraphrasing here, that it's never been as buoyant as you had seen this year looking out. You mentioned that it still is positive. Just wondering if you could put a bit more of a finer point on that, whether it looks as good as it has in the past or maybe it's decelerated somewhat. Some of the customers have seemingly said more recently they are expecting to promote it a little bit less. So I just wanted some color there. Thank you.
Stephen J. Hagge: Again, it's a tough question overall because of the different markets, but in general I think, George, it's still a very positive side. I think today with challenges that our customers are seeing in the market to get sales, they are also looking back at innovation as the way to pick that back up, particularly consumer health, food and beverage and our beauty and home market. We actually saw last year an increase in the number of launches for example on the fragrance side, which is somewhat we were actually going to anticipate that as we went in the year. So as I talk to customers, again I would say there is a cautious optimism going into this year. It's certainly not bullish but there's not a big negative that the world is going to come apart.
George Staphos: Alright, thank you.
Operator: Our next question comes from the line of Adam Josephson with KeyBanc. Your line is open. Please go ahead.
Adam Josephson: Congratulations on a really good year. Steve, one on margins. Your EBITDA margin last year was the highest you've earned in well over a decade, obviously despite only 1% core sales growth. How much of that margin performance would you attribute to Pharma growing more strongly than the other segments, how much to the lower raw materials and how much to good execution on your part, and do you think that 20% margin is sustainable? I realize that 20% margin is your long-term target but obviously you haven't hit that target for a very long time until 2015.
Stephen J. Hagge: I think it's a good question. It's a bit of a challenge because you bring up quite a few things. Certainly we've seen good growth in our Pharma business which is up about 8% on a core basis for the full year, and that is a positive contributor given the margins. But I think what really has been very helpful and one of the things we at Aptar look at is the broad diversification of our business. If you look at the margin improvements in terms of our Beauty and Home business, we're up about 120 basis points and a little over 200 basis points in Food and Beverage, and that's been a substantive contributor. So kind of to answer your question looking forward, it's been Pharma but it's also been very good operating results and certainly we've been benefiting by some of the lower materials. So it's hard to get all of those pieces specifically identified but all of it added. Now as we look forward, as you pointed out Adam, the 20% is our targeted long-term EBITDA growth, our EBITDA margin target, if we get some additional growth, which we think will be coming in both Beauty and Home and even in Food and Beverage, we think it's a sustainable. Whether it is quarter to quarter or for a full year, but long-term we think that's sustainable.
Adam Josephson: Thanks for that, Steve. And another longer-term question on your core sales growth, so while you hit your long-term EBITDA margin target in 2015, you obviously fell short of your long-term core sales growth target and you've fallen short of that every year since 2011. So given that it's been four years since you've hit that 6% to 8%, have you considered revising that just in light of everything you're seeing in the global macro?
Stephen J. Hagge: Again, we're not looking to revise it. I think we still are comfortable with the positions we're in. We certainly have gone through some turbulent economic times over the last couple of years and up to even 2014 we were up to 5% core growth. So pretty close to the low end at least of our target. But at this time we're not looking to adjust our long-term growth rate.
Adam Josephson: Okay, Steve. Thanks. And Bob, just one on seasonality of your business just for accounting purposes, how would you describe the seasonality of your business, and consequently how much higher would you say second and third quarter earnings typically should be than first and fourth quarter earnings?
Robert W. Kuhn: I mean I'd have to go back and historically look at it, but I would say in general Q1 and Q4 tend to be our weakest quarters. And if I just kind of split the year in half and take first half and second half, I would say the first half is slightly more than 50% of the overall results of the year while the back half would be slightly less than 50%. And then you have that option to expense issue that drags down 1Q relative to the other three quarters. That would have been included in my analysis. That's about $0.05 more in the first quarter.
Adam Josephson: Got it. Terrific. Thank you.
Operator: Our next question comes from the line of Ghansham Panjabi with Robert W. Baird. Your line is open. Please go ahead.
Ghansham Panjabi: First off, you mentioned an improvement in beauty. Can you just kind of give us some more color in which categories and maybe even which regions are growing within that specific business?
Stephen J. Hagge: I think in the beauty side, what we're seeing, and this has been a continuing trend for us and frankly ties in a bit to our Mega Airless acquisition, it tends to be in the facial skin care market has been some of the fastest growing over the last several years. That continued coming back into the quarter. The other side that I think was also a positive is we began to see a bit of recovery in Latin America. We had good beauty growth in our Latin America markets, also in the Asian markets for us, while Europe and the U.S. were pretty flattish to slightly up. So again, when I look at the overall trends, it tends to reflect where our customers at and the significant share we have in that marketplace.
Ghansham Panjabi: Okay. And I'm sorry if I missed this, but did you breakout core sales growth by region, Europe, Asia, et cetera?
Robert W. Kuhn: I have not but I could do that for you. Looking at Q4, the U.S., and again this is all segments blended together now on a consolidated basis, U.S. core sales were up 1% in the fourth quarter, Europe was down 1%, Latin America was up 21% and Asia was down 5%.
Ghansham Panjabi: Okay. And then just one final one as a clarification on the margin expansion question, how much benefit is there from just the U.S. being relatively larger from a geographic mix perspective given the stronger dollar? I mean does that factor in at all?
Stephen J. Hagge: No. In fact, it's almost neutralized because what we're doing is, while we get some transaction positive bringing some product in from Europe, overall the different regions come back. So it's not a big impact in terms of the split, Ghansham. So in terms of the growth drivers, it's more cost containment for us as well as efficiencies in terms of production.
Operator: Our next question comes from the line of Chris Manuel with Wells Fargo Securities. Your line is open. Please go ahead.
Chris Manuel: I wanted to just come back and maybe circle around, if I look at full year, to an earlier point, core sales up 1% for the full year, but if it's feasible, could we parse that out a little bit thinking about recognizing that raw materials or even purchased products that are made from raw materials that you guys use are a pretty significant chunk of that and those have fallen quite a bit, how would you think about that 1% on a core volume basis not just core sales, meaning maybe ex-tooling which you talked a little bit about being a couple of points and material costs, would we be thinking about something that's 4%, 5%, 6% perhaps understating that number?
Stephen J. Hagge: You know 4%, 5%, 6% would be I think high, Chris, but certainly you're going to have I would say the product sales themselves would be higher than what you've got because we've at our top line included in that is resin pass-through that was a negative for the year, that's probably 1 point to 1.5 point. So you've got some of that coming back in. And tooling for us across all of that really wasn't a major factor. Those are small difference between the years but that wasn't a material driver. So in terms of core, you'd probably be closer to 2% to 3% rather than the 1%.
Chris Manuel: Okay, that's helpful. And then, switching gears for a second, I think your new facility over in France for Stelmi should be finished. Can you maybe just give us an update on where you are there, do you have it qualified or kind of the timeline out as to when commercial activity or commercial sales will be coming out of the new facility?
Stephen J. Hagge: Yes, in fact, I was actually at the facility with Bob. We went back in October to the facility. All of our equipment is now in the facility. The building construction has been basically completed at this point. So we're right now going through, starting the validation process. We would anticipate that that's going to occur through the first and second quarter and we will start having sales coming out of that, out of the new equipment coming out into the third quarter. So what is good for us right now is we're on target in terms of cost, we're on target in terms of timing, and frankly I think right now we're really very enthusiastic about the quality of the equipment we've got and what may be a nice boost in our production capability as we look into the second half of this year and in 2017.
Chris Manuel: That's helpful. Thank you.
Operator: Our next question comes from the line of Mark Wilde with BMO Capital Markets. Your line is open. Please go ahead.
Mark Wilde: Could you give us just some sense for the overall resin benefit in the fourth quarter? I'm not sure I heard that number.
Robert W. Kuhn: Sure. Looking on the income side, it was roughly about $3 million for the quarter, and that roughly breaks out about $2 million for Beauty and Home and $1 million for Food and Beverage.
Mark Wilde: Okay, alright, that's helpful. And then, Steve, in the wake of the news on Mega Airless, I'm curious about your interest in doing kind of further M&A activity this year and what the focus areas might be and whether the kind of turmoil in the emerging markets might be an opportunity for you?
Stephen J. Hagge: I think it's a good question, Mark. What's nice about I think the Mega transaction for us, I think it strategically fits very well. It's not so large that it's going to prevent us from doing other transactions. So we have other potential acquisitions we're going to continue to look at. Certainly from the balance sheet leverage-wise, we have plenty of room after the Mega deal to continue to expand. So we're going to continue what we've done in the past and that's look for well-run, good, strategically fitting acquisitions, and I wouldn't anticipate that slowing down at all in 2016.
Mark Wilde: Okay. And then finally, just any thought, any impact on any of your businesses from this Zika virus?
Stephen J. Hagge: We've been thinking about that. I mean today, as you're aware, there's not a vaccine that's out there that's been developed for that. So as we look, our people are going to be – it could possibly impact us from insecticides being used to kill the mosquitoes, but I think it's really – ultimately, it's too early to tell.
Mark Wilde: Okay, good enough. I'll turn it over and good luck in 2016.
Operator: Our next question comes from the line of Chip Dillon with Vertical Research. Your line is open. Please go ahead.
Chip Dillon: First question, I just must have missed the number, you were going through the core sales and you said beauty was up 6% and then something was down 7%, and home care was flat. What was that minus 7%?
Robert W. Kuhn: The minus 7%, Chip, was personal care.
Chip Dillon: Personal care, got you, okay. And then not to put you on the spot, when you look at the first quarter guidance, it's sort of in line or maybe even slightly the midpoint below a year ago and I know that we now are lapping some of the currency issues hopefully, you surely would have more confidence I guess and maybe why do you think you will have confidence to grow the back nine months of the year, I know the comparisons get to be tougher because you had such a good 2015, but could you just give us a little help just as you think about the back nine months versus the first quarter?
Stephen J. Hagge: First of all, I think keep in mind on the first quarter, the currency, if you're talking about currency fluctuation, certainly the euro is going to probably see a bit less volatility. We've got quite a bit of volatility going on with the Brazilian reais, the Chinese Yuan. So you've got other things that we need to look at because we're using year-end rates to do our projections going forward. So you are getting some currencies you can see in terms of the numbers. And otherwise, I think the other side that I at least tried to point out in the press release is that while we don't see the market as negative, it's certainly not bullish out there. We've got a lot of our customers being somewhat cautious and that's kind of our view as we go into the first quarter to see how the year is going to start.
Chip Dillon: Okay, that's good. And then, you might have given this, I don't think I missed it though, but could you just update us on your plans for CapEx for 2016 and what should we assume for interest expense and the tax rate?
Robert W. Kuhn: Sure. So for 2016 capital, we're estimating capital expenditures at about $160 million and we're also anticipating D&A to be around $150 million. Those exclude anything coming potentially on top of that for Mega. We're continuing obviously to invest in the Pharma capacity growth that we've seen. The interest expense should be up slightly over – you've got two effects, you've got about another $1 million coming on the U.S. financing part of the Mega transaction and then you've got slightly more as well on the additional $225 million private placement that we conclude in February. So you've got about another month and a half, two months roughly on that. So that's about $2 million to $3 million extra.
Chip Dillon: And on the tax rate?
Robert W. Kuhn: Tax rate we're targeting 32% to 33%.
Chip Dillon: Okay. So just to be clear, and I know you're still working through numbers with Mega, but whatever impact it has on D&A and CapEx would be on top of the numbers you gave us?
Robert W. Kuhn: That's correct, but we're not expecting that to be materially different, their capital versus their D&A.
Chip Dillon: Got you. Okay, thanks guys.
Operator: Our next question comes from the line of Brian Rafn with Morgan Dempsey Capital Markets. Your line is open. Please go ahead.
Brian Rafn: 2015, tough year for small caps and manufacturing. You guys have been a beacon of growth. So hats off to everybody at Aptar. You did a fabulous job. Give me a sense, in the cosmetic perfume where you guys talked about some strength, I think you said, Steve, that you were a little surprised at fragrance launches. Can you break it out, does this spill over into 2016, can you maybe give us a little more granularity on maybe the upper prestige lines versus some of the lower-end economy lines in the fragrance area, and how did that market, was it more packaging reformulations or was it just new brand launches, what was the strength there?
Stephen J. Hagge: I think you saw some new brands coming out. You also saw some adjacent brands. So you have main brand and they'd be sending out or introducing new colors, if you will, of that same brand. Again, I want to go back to the other thing, Brian, that we did see is new formulations on facial care and in terms of – that's a market that continues to increase for us, and again it fits well with our Airless transaction. So as we look forward, remember we had a very challenging year in Latin America, we're hoping that that market at least stabilizes and maybe gives us some potential to see some additional growth down there. But I'd say it's cautiously optimistic going in. I don't see this though being a 10% or 15% growth in 2016. So, if we get to 3%, 4%, 5%, it'll be a very good year for us.
Brian Rafn: Okay. The Olympics in Rio de Janeiro, Brazil, does that provide any catalyst for, I'm thinking, packaged food or beverage, product reformulations, is there enough volume there from that event or is that really kind of a non-event?
Stephen J. Hagge: Historically any time you get an event of that size, whether it was the World Cup or whatever, you typically get our customers introducing new products selling more. So net-net, it tends to be a positive. I wouldn't call it though a needle-mover for overall Aptar.
Brian Rafn: Okay. When you look, Steve, across the different end markets and you look at new product line launches with your customers, are you seeing any changes, number of units being launched more regional versus international or nationally, can you put any flavors, say 2015 going into 2016?
Stephen J. Hagge: Again it's going to be very different based on the three business segments. I would say that if you looked at where we've seen launches probably being a bit smaller than what they were in the past, they are a little bit more focused. I think that trend will continue in 2016 as it was more in 2015. So maybe more launches but not as big of individual launches.
Brian Rafn: Okay. And then anything on the size packaging reformulations, the old 16 ounces for a fixed price, now 12 ounces, is that in these kind of tough markets where you haven't seen a lot of sales growth internationally, are you seeing package reformulations in size?
Stephen J. Hagge: You're getting it going both ways. You're seeing it certainly at the club stores some of the larger and you get two for one or whatever those transactions may be, but you're also coming back and seeing in the dollar stores where you're getting people's incomes down and they are reformulating the package to be more specifically tied to be at a more affordable price. Even if it's less long-term cost-effective for the consumer, they just don't have the money. So we're seeing a bit of both of those. But again, I don't think a substantive change between 2015 and 2016.
Brian Rafn: Again, great job in 2015. Thanks Steve.
Operator: Our next question comes from the line of Debbie Jones with Deutsche. Your line is open. Please go ahead.
Debbie Jones: I was hoping to talk about the broader trends in drug delivery methods and how that will impact your strategy for M&A in that segment, in Pharma, going forward, because I feel like if we look back prior to Stelmi, there was a lot of talk about oral and nasal drug delivery and Stelmi was into injectables, and now you have a little bit more dermal with Mega, and just how kind of the trends that we're seeing currently might impact you going forward and where you look to grow?
Stephen J. Hagge: Certainly I think some of the trends continue, which I think as you look at the biotech type drugs, I think they are continuing to expand going back out and I think the Stelmi or Aptar-Stelmi product line really helps that. Today with coated elastomer products, is again that's a new product we introduced in 2015, that should help our growth going forward. I think the other thing that while it's a small area, we're seeing the one I talked about, this opioid emergency treatment is also a plus and that's getting into different therapy. So it's passed allergies, it's passed in drugs for the lungs, and those are areas. So we're continuing to work on those with our customers and we're also looking at acquisition opportunities that can again fit well within the Aptar product line to be able to expand to our customers.
Debbie Jones: Okay, thanks. I guess I can ask just last follow-up on Mega Airless, there's just nothing in your guidance for Q1 that's been there now like a month.
Robert W. Kuhn: No, right now since we're not sure of what the timing, while we still hope that will get done in the first quarter, we've got nothing in there for Mega both either on a cost side or an income side.
Debbie Jones: Okay, great. Thank you.
Operator: Our next question is a follow-up question from the line of Adam Josephson with KeyBanc. Your line is open. Please go ahead.
Adam Josephson: Thanks for taking my follows-ups. Bob, just one clarification on FX, I know you said you were easing up year-end rates, what euro and reais rate are you assuming for 1Q?
Robert W. Kuhn: We would have used the end of the year spot rate. So for the euro that was roughly 1.09. I don't remember, I might have it here for reais.
Adam Josephson: That's okay, so year-end, I can find it, but 1.09 for the euro, okay.
Robert W. Kuhn: Yes, and the spot I think is about like 0.26 on the reais.
Adam Josephson: Okay. And, Steve, just in terms of economic comment, economic thoughts, you talk about each of your end markets but did you see any notable signs of improvement or deterioration as the quarter progressed and do you expect any improvement given the presumed benefit of these lower oil and gas prices for consumers globally?
Stephen J. Hagge: I think what we've seen is not a substantive change in the fourth quarter. So as we look forward into 2016, we think it will be somewhat similar in the first quarter as it was to the fourth quarter. So while we're getting some changes to the oil prices here in the United States, you're getting offset for that in terms of certain taxes and other things that are going up. So I'm not sure yet where the consumer is to that but at least our customers haven't been projecting big new launches to try to reflect that increased purchasing power in the U.S. And then again, you're starting to see some raw materials actually start to go up a bit here in the U.S. or even in the resin area. While it's not material in the first quarter, we're starting to see some increases.
Adam Josephson: Thanks Steve. And just related to that, how would you compare the environment today to say a year ago? Has it gotten any better or worse? It seems like it's been more volatile recently but I would just be interested in your thoughts.
Stephen J. Hagge: I would say it's maybe slightly better. I think people have gotten through the year. It wasn't a great year for a lot of our customers but a lot of the restructuring that they've done they've had in place and they are now looking to see where some of the growth will be. So, on whole, I would have it more of a slight positive on an overall basis than it was last year.
Adam Josephson: Thanks a lot, Steve, and best of luck.
Operator: Our next question comes from the line of George Staphos with Banc of America Merrill Lynch. Your line is open. Please go ahead.
George Staphos: First question, just wanted to follow up on a couple of numbers just to make sure I had them right. So Latin America you said core growth was up 21% and I think you said in answering one of the questions that you were hoping for 3% to 5% growth I think in fragrance and cosmetics. Did I get those correctly, and the Latin American piece, is that mostly from fourth quarter, is that mostly pricing to offset currency?
Robert W. Kuhn: Let me address the Latin American side, George. So you've got kind of three different factors coming in. We continue to transfer business from North America's previously manufactured and sold from North America into the region down to Latin America. So that kind of penalises a little bit our North America and benefits our Latin America. You do have really good growth continuing in some of the smaller markets for us, which is going to be beverage and food. And we also saw very good growth in our Pharma, both CHC and Rx down in Latin America. And then we've also got the increased selling prices really just passing on the higher inflation that we experienced in both 2014 and 2015. So that's also kind of built into that 21% core growth rate. I'm not sure on your second question, George, on the fragrance 3% to 5%.
George Staphos: I think Steve has made a comment that you wouldn't be looking for 10% growth this year but 3% to 5% growth would be a good result, and I'm not sure whether it was for fragrance and cosmetic, Beauty and Home more broadly or what end market you were specifically referring to there.
Stephen J. Hagge: I'm sorry, that was – what I was trying to do is saying we were up in the beauty area, Beauty and Home, we were up 6% in the fourth quarter, and if I look out for the year given the launches et cetera that we're seeing, 3% to 5% we think year on year growth in the beauty part of the market would be a good year for us.
George Staphos: Okay. Thanks for that. That's helpful. Second question I had, to the extent that – let me back up. You mentioned that you don't think that you are losing share and more likely gaining share. Yet there's really nothing like Nielsen scanner, let's face it, for your market. So how are you keeping tabs of that? And if you had to put a rough market share on new products within broadly Beauty and Home, Food and Beverage, and Pharma, what would it be for each on new products, your share?
Stephen J. Hagge: Again, it's going to be definitional I think. So a couple of things we do. We use a lot of different databases, we use Euromonitor, we use Nielsen data to try to come back, and we're also in discussion with our customers. But it is challenging because we're in a lot of different areas in a lot of different marketplaces. But when I look at our new product side, what we're doing is, when we look at new products, the definition we have, we're roughly running last year about 7% of new product sales that we define as new product sales. That's up from about 6% the year before. We're targeting to be a little over 8% in terms of 2016. So again, those new products, as we define them, George, are new products that are let's call brand new products but also entering in new regions and new application fields for us. So it's more all-inclusive for us.
George Staphos: Okay, alright. And then my last question, there's obviously been a lot written over the years about channel shift and the move from brick-and-mortar to online. Does that affect your business much at all? I'm sure the question has come up in past conferences. I just don't recall what your views on that are. And are there any end markets that provide a particular opportunity for you given your product base. Thanks guys. Good luck in the quarter.
Stephen J. Hagge: It's an interesting question and frankly is one that we're having discussions with across all three of our segments, because their whole distribution channel is now going from shipping cases of stuff to Walmart or to a drugstore to shipping one-off containers through Amazon. The packaging criteria is changing for that. So we're working on several projects today trying to define how our package needs to adapt to those new market conditions. We think that this offers us additional opportunities to grow but it's one that we have to stay very flexible with because it's a very quick changing market. So I'm sorry I can't give you more to that but certainly our customers are focused on it and we have several very specific projects we're working on with them to try to deal with that.
George Staphos: Okay. Thank you, Steve.
Operator: I'm showing a question from the line of Jon Andersen with William Blair. Your line is open. Please go ahead.
Jon Andersen: Couple of quick ones. Bob, I wanted to come back to an earlier question on resin. You quantified the benefit in the fourth quarter at $3 million. Was that an income number, a pre-tax, after-tax? And then what are you kind of modeling for the first quarter in terms of resin benefit?
Robert W. Kuhn: That was a pre-tax number, Jon, on the $3 million. And then in terms of modeling, I mean we're just assuming there's some movement between regions between the U.S. and Europe but we're basically modeling flat, no change.
Jon Andersen: Okay. And then on the personal care business, I'm just wondering given kind of the result in the fourth quarter, maybe Steve, you could talk a little bit about what you're seeing there and is the decline in the fourth quarter kind of end market demand you think, is it slowdown in terms of some of the conversion activity at present or are there some share impacts going on, just some color there would be helpful, and how you're thinking about that part of the Beauty and Home business as you look ahead to 2016? Thanks.
Stephen J. Hagge: It tends to be a bit lumpy for us. I mean we're seeing some of our hair care, we saw quite a bit into the hair care market and that has been actually pretty soft for our customers, as a result soft for us. We actually have come back into the sun care market. It's another big market we sell into. That market was flattish in the year and we're seeing some inventory carryover. So we're not getting as much refills right now into the sun care market as we originally anticipated. All those being said, it becomes very different business side in a different region. So we still are very bullish about the overall personal care market but we just see some spotty issues in terms of the fourth quarter.
Jon Andersen: Okay, thanks a lot. Good luck.
Operator: I'm showing no further questions at this time and I would like to turn the conference back over to Mr. Steve Hagge for any closing remarks.
Stephen J. Hagge: Thanks, Michelle, and that concludes our call today. I'd like to thank everyone for joining us. Goodbye.